Operator: Good day, and welcome to the Mister Car Wash Q2 2021 Earnings Call. All participants will be in listen-only mode. [Operator instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Megan Everett, Senior Director of Communications. Please go ahead.
Megan Everett: Good afternoon, everyone, and thank you for joining us today for Mister Car Wash's second quarter fiscal 2021 earnings call. Speaking today, are Chairperson and Chief Executive Officer, John Lai; and Chief Financial Officer, Jed Gold. After John and Jed have made their formal remarks, we will open the call for questions. Before we begin, I do need to remind everyone that comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from -- materially from management's current expectations. These statements speak as of today, and except as may be required by law, the company does not have any obligation to update or revise such statements, if circumstances change. Please review the cautionary statements and risk factors contained in the company's registration statement on Form S-1 filed with the Securities and Exchange Commission on July 27, 2021. As such factors may be updated from time to time in its other filings with the SEC, including its quarterly report on Form 10-Q for the quarterly period ended June 30, 2021. During the call today, management will also refer to certain non-GAAP financial measures. A reconciliation between the GAAP and non-GAAP financial measures can be found in the company's earnings press release, which was filed with the SEC today and posted to the Investor Relations section of Mister Car Wash's website at ir.mistercarwash.com. With that, I'll turn the call over to John. John?
John Lai: Good afternoon, everyone, and thanks for joining us on our first earnings call. It's great to talk to all of you again as a new public company. It's been a little over six weeks, since we rang the bell, and we're still feeling the glow and positive emotions over the significance of going public. Morale within our organization and the industry to core from coast to coast has never been stronger. It was an extremely validating feeling and a testament to our amazing team and all the hard work that led up to this historic event. We came into the IPO as a passionate and mission-driven bunch, but coming out of it. There's a new sense of purpose, as we set out to do what no one else has done before, which is to build a true national car wash company and scale is to even greater heights. We believe a strong culture drives strong performance, and we're executing at a high level right now and clicking on all cylinders. It's taken us over 25 years to build our team. And today, we have an incredibly strong weave of talented, hard-working and passionate leaders, who love what they do and are having fun building a very special company. Before I dive into the numbers, I'd like to share a quick story. During the IPO, we launched an employee stock purchase plan to give our team members an opportunity to buy stock and own a piece of the pie. I had no idea what level of participation we were going to get, but I'm thrilled to share that over 30% of our workforce participated. That's almost 2,000 people, who voluntarily invested back into the company they work for. Given the size of our organization, when you have that many people that deeply believe in the company, it becomes as powerful for us to get stronger and stronger. Just the other day, I was getting my car wash in one of our crew members who looked like he was just at a high school, came up to me and said, Mr. Lai, thanks, we’re setting up the ESPP program. Without the payroll reduction plan, I wouldn't have been able to participate. I hope it is my dream that someday I get into the MIT program. Just blooming away and it highlighted the fact that at the end of the day, as service providers, it's all about our people. And when they feel good about the company that they work for, they perform well. For our call today, I'd like to begin by briefly recapping our second-quarter results and then share some background on our growth drivers, our strategy and how we're going to deliver long-term shareholder value. Then Jed Gold, our CFO, will discuss our financial results, including the impact COVID-19 had on our comparisons, as well as the divestiture of our quick lube facilities completed in December of 2020. Jed is also going to review our guidance for fiscal 2021. I'm pleased to share that our Q2 results materially exceeded expectations. For the quarter, we delivered total revenue of $197 million, an increase of plus 93% over Q2 of 2020 and adjusted EBITDA of $73 million which were all-time records for quarterly sales and adjusted EBITDA. This performance kept off an incredibly strong first half with adjusted EBITDA of $135 million, revenues were up 45%, same-store sales up 50%. And as of today, we added eight new stores through acquisitions and opened up eight new greenfield locations so far in 2021. As Jed will discuss as we look ahead, we're well-positioned to deliver on our unit level growth outlook for the remainder of the year. For those of you that are newer to our company, let me provide some background on our history. Since our founding 25 years ago, we've grown to become the largest national car wash brand in the US with 350 geographically diversified locations, 1.5 million unique Unlimited Wash Club members, and we wash over 70 million cars annually. Our 39 consecutive quarters of positive same-store sales growth pre-COVID is an amazing number and was driven by our awesome field management team and their relentless focus on operational excellence. Our biggest competitive advantage is our people who deliver an elevated level of customer service day-in and day-out. Over 90% of our managers have been promoted from within and we support all of our team members with competitive wages, excellent benefits, best-in-class training, and career path progression. Employee engagement has never been stronger. Our ENPS score of 55 puts us in the best-in-class category alongside some of the most legendary brands in consumer retail. As we think about our future, our focus will be on continuously adding value to the customer experience, while continuing to build and acquire new stores to strengthen our portfolio. Comp store growth will be driven by increasing our Unlimited Wash Club member base, maximizing throughput, and investing in our team. UWC has changed the game, representing over 60% of our overall business. This predictable, recurring, subscription-based business model has transformed every aspect of our company as we become very member-centric. As we increase store density, we expect our membership numbers to grow as the associated network of more stores equals greater optionality for our members which increases the value proposition as our market share grows. We're calling this the network effect and it's having a positive symbiotic relationship with our greenfield program. Our unit growth will be driven by greenfield development to infill existing markets, complemented by highly selective strategic acquisition opportunities in new markets and existing markets. Looking ahead, we see a lot of opportunity for continued growth. The US car wash industry is large, highly fragmented, and very resilient. Demand for our services has never been stronger as the US car park continues to expand and more new users come into the category as motorists continue to shift away from doing it yourself to having someone do it for them. In the end, cars will always get dirty, they're always going to need to be cleaned. and when you have that kind of persistent demand for your service, that's a good thing. From a big picture standpoint, while we're the largest carwash operator in North America with less than 5% market share, we actually see ourselves as quite small with a huge runway for continued growth in front of us. With all the fundamental building blocks in place and the best team in the industry, we're in an excellent position to achieve our 2021 outlook as well as our longer term target to grow our topline in the high single-digit range and grow adjusted EBITDA in the low double-digit range. Now, I'd like to turn it over to Jed.
Jed Gold: Thank you, John and good afternoon everyone. As John said, we are very pleased with our performance for the first half of this year including our second quarter results which exceeded our expectations, marking a record quarter from both our revenue and adjusted EBITDA perspective, driven by the exceptional performance this spring. We believe that our performance to-date positions us well to deliver against our outlook for the year. Before I review our guidance for fiscal 2021, let me provide some additional detail about our second quarter and year-to-date results. My results will focus on our adjusted non-GAAP results. Please refer to today's press release if you would like more details on our financial performance and our methodology in calculating non-GAAP metrics. In the second quarter, our business benefited from the strong macro backdrop and increased mobility trends. Revenue increased 93% to $197 million from $102 million last year driven by the comparable store sales growth of 93% and unit growth of 7%. Our comparable store sales growth, includes UWC membership growth of 39% since June 30, 2020, as UWC membership grew to over 1.5 million members from approximately 1.1 million members as of the end of Q2 last year, accounting for 62% of total wash sales during the period. In addition, we had a solid retail comparable store sales growth or non-UWC membership sales growth of 90% during the quarter. Important to note, our revenue growth for Q2 fiscal 2021 was impacted by a $5.1 million decrease in oil change revenue as a result of the divestiture of our quick lube facilities in December of 2020. We are also comparing to prior year period when we temporarily suspended our services, including UWC billings at more than 300 of our locations between March of 2020 and May of 2020 in response to the rapid onset of the pandemic. Compared to 2019, revenue growth was 25% and comparable store sales growth was 22% for Q2. With respect to unit growth, we added five stores through acquisitions and two new build locations in Q2 of this year. Greenfield unit expansion is a key driver for our growth strategy and we continue to be very pleased with the performance of our new locations. We now have 13 greenfield locations that have passed their one-year mark with productivity and profitability that is nicely exceeding their planned projections due to ramping memberships and again, bringing new carwash users into the category as we expand our network of the stores. We feel great about our store pipeline and our ability to deliver against our long-term new store model parameters as we continue to grow our footprint. Now switching gears to provide perspective on the balance of the P&L. This year's Q2 cost of labor and chemicals excluding the $31 million impact of non-cash stock and compensation expense related to the acceleration of the vesting of store-level team member performance options was $57 million or 29% of revenue, a 500 basis point improvement versus Q2 last year. This improvement was primarily driven by sales leverage which we define as spreading the fixed cost of the business over a greater number of sales and the optimization of the wash labor model. The redesign of the wash labor model was initially implemented in 2020 in response to the COVID-19 pandemic and is based on location level, demand metrics such as wash volumes, wait times and peak hour needs. The improvement versus Q2 of 2019 was approximately 1,000 basis points largely driven by the same factors. 15 percentage point leverage in our other store operating expenses was related to more normalized levels of revenue in Q2 this year versus a pandemic impacted Q2 2020. Compared to Q2 2019 other store operating expenses improved 100 basis points as a percent of revenue driven by leverage on the sales increase. General and administrative expenses in Q2 this year excluding the $171 million impact of non-cash compensation expense due to the acceleration of vesting of performance options were $18 million or 9% of revenue compared with $14 million or 13% of revenue in the same period last year. The 93% revenue increase was the primary driver of this year-over-year expense leverage. The $2.5 million year-over-year decrease in interest expense was due to slightly lower rates and debt levels. Given the timing of our IPO at the end of Q2 and the subsequent debt pay down, we would expect interest expense to be approximately $6 million per quarter in Q3 and Q4. Our effective tax rate during Q2 2021 was 28.8% compared with 27% last year. Adjusted net income increased to $41 million from $800,000 last year. Diluted earnings per share was $0.14 in the second quarter of 2021 compared with breakeven in the prior year period. And finally, as a testament to the execution by our best-in-class operations team, strong flow-through on the 93% sales increase drove a 160% increase in adjusted EBITDA to a record $73.1 million for Q2 this year. This is despite a decrease of $700,000 of adjusted EBITDA due to the divestiture of our quick lube facilities in December of 2020. Moving on to the balance sheet and cash flows. Cash and cash equivalents as of June 30, 2021 was $155 million compared to $58 million as of June 30, 2020 and $115 million as of December 31, 2020. As you know we completed our IPO in June of 2021 which generated proceeds of approximately $433 million after offering-related costs. We use those proceeds to repay our long-term loans and our total debt as of June 30, 2021 was $615 million resulting in net leverage ratio of 2.1x. Also in conjunction with the IPO, we closed on an amendment to our revolving commitment and upsized capacity from $75 million to $150 million creating additional liquidity for future growth. Capital expenditures increased approximately $17 million to $44 million in the first half of fiscal 2021. Net of sale leaseback proceeds CapEx decreased $1.5 million to $22 million. Maintenance CapEx was $9 million in the first half of fiscal 2021 compared with $1.6 million in the first half of fiscal 2020. Let me now turn to our guidance which you saw outlined in our earnings press release. For the full year fiscal 2021 we expect revenue growth of approximately 30% against 2020 revenues of $575 million based on comparable store sales growth of 29% to 33% and 16 to 18 new greenfield locations. As a reminder our sales growth expectation also takes into account the $24 million negative impact from the loss of revenue associated with the divestiture of our quick lube facilities, as well as the conversion of interior clean to express stores. With the inherent leverage of our operating model, adjusted EBITDA is expected to increase between 53% to 56% to $247 million to $252 million on the year. Adjusted diluted earnings per share are expected to increase to $0.39 to $0.44 assuming diluted shares outstanding as of December 31, 2021 of approximately 330 million shares. This outlook also assumes full year interest expense of approximately $39 million and an effective tax rate of 35%. Note that the tax rate being used to compute adjusted net income is approximately 26%. We expect total net CapEx of approximately $83 million for the year. Gross Greenfield CapEx will total $85 million or $28 million net of planned sale leasebacks and tenant improvement allowances. In addition, we expect $18 million for maintenance with the remainder being spent on other growth initiatives and integrating acquired stores. I'll take a moment now to discuss our long-term growth targets. As John outlined, we see significant white space that we intend to capitalize on with our unit growth strategy that blends greenfields and acquisitions. In addition, we see continued productivity opportunities at our existing locations through growth in UWC membership and continued lane and site optimization. We therefore, are targeting top line percentage growth in the high-single-digits based on high-single-digit percentage unit growth and comparable store sales growth in the mid-single-digits. With continued expense leverage, we believe we can continue to grow adjusted EBITDA in the low-double-digit percentages. We are comfortable with our current leverage that sits within our target range of two to three times and we intend to remain disciplined with allocating capital, prioritizing investment in the business. In conclusion, we've had a very strong first half of fiscal 2021 and our late June IPO marked a key milestone for our company. The entire Mister team is excited about the many opportunities that lie ahead as we enter this new phase as a public company, and we believe we are well positioned to deliver on our long-term growth targets. And with that, I'll turn it over to the operator to begin the Q&A session. Sara?
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] Our first question comes from David Bellinger with Wolfe Research. Please go ahead.
David Bellinger: Hey, guys. Thanks for taking the question, and congrats on your first quarter as a public company here, nice results. So, if we could just start on the makeup of sales growth in Q2. Can you walk us through the monthly trends for the quarter? Any changes across geographies to call out? And as you assess the exit rate or even early part of Q3 is there anything you can correlate with some of the more recent headlines around the Delta variant or some other factors at play? Just what are you seeing as you exit Q2 here?
Jed Gold: Yes. David thanks for your question. And we aren't going to provide comps by month, but I will highlight that we did see a very strong spring from both a revenue and EBITDA perspective, with March through May at record highs. Certainly, we benefited from the increased mobility trends and the pent-up consumer demand. And then, the second part of your question there about the -- just any regional outliers, when you start peeling back the layers to this, this is a business that performs well. It comes well across all regions, across all cohorts, across all income demographics. Usually, when we see a skew at the regional level, it's because there's a higher sales mix from our greenfield and acquired stores that are still ramping and they're moving out of that freshman year into the sophomore year and get picked up in our same-store sales.
David Bellinger: Yes. Thanks for that. It's very helpful. And just my follow-up here. On the member growth, again, very strong this quarter, up almost 40% year-over-year. So, how should we think about the trajectory of member growth, both over the next few quarters with this new digital push and also potentially as these elevated growth rates potentially normalize over time?
John Lai: Yes. David, a terrific question. When I look back over the last six months, what we've done to grow our UWC member base, is nothing short of a phenomenal. And with respect to not getting too excited, the 300,000 new members through June, plus 24% quite frankly, I'm not sure that that's a sustainable rate of growth. If we stop adding new members for the rest of the year and finish the year plus 20%, that would be awesome. Historically, when we see member growth, the bulk of it does come in the first two quarters. But given the consistency of our business that Jed just outlined, we anticipate continued growth with our membership program, probably not at the same rate, but growth nonetheless as we continue to increase the value proposition of that program. So we're very bullish and optimistic about UWC, as we continue to increase that member base and again provide more optionality for our members.
David Bellinger: Thanks, guys. Appreciate the detail.
Operator: Our next question comes from Elizabeth Suzuki with Bank of America. Please go ahead.
Elizabeth Suzuki: Great. Thank you. So regarding the full year same-store sales outlook, I mean, there appears to be a bit of a deceleration in the two-year comp assumed. I mean, is that largely conservatism about the pace of reopening, or were there other factors that may have elevated growth in the second half of 2019 that creates a bit of a difficult two-year comparison?
Jed Gold: Yes. Thanks, Liz. It's -- like we said, we're not talking of month-to-month, though we did see this outperformance early with the start of the quarter at record highs, given the strong macro environment. As you think about the second half, keep in mind, that we do have the headwind of the revenue lost $24 million on the year due to the divestiture of the lube business through December of 2021. Also keep in mind that, as you look at the comp on a go-forward basis, it was August of last year that we brought our interior clean services back online, making it just a little bit more difficult of a lab.
Elizabeth Suzuki: Great. Thank you.
Operator: Our next question comes from Simeon Siegel with BMO Capital Markets. Please go ahead.
Simeon Siegel: Thanks. Hey, guys. Congrats on the first public call, exciting stuff. So John, to your point regarding the networking effect, can you just remind us what percent of your members use more than one location? And just maybe any change you've seen in the UWC member tendencies, as people have been getting out, any change in frequency? And then, Jed, really nice, obviously, UWC, but also the retail growth that you mentioned. Can you dig into that a little bit maybe give -- speak to the wash volumes versus price or anything else baked into the retail growth? Thanks.
John Lai: Yes, Simeon, let me take that first part and then I'll hand the second part over to Jed. So when we look at the network effect and the impact of having more stores in market, more optionality, on average today, a little over 30% of our members use more than one location to get their car clean, in markets where we have increased density, increased penetration in stores and a higher market share, as a result. So markets like Des Moines, Iowa, El Paso, Texas, Bakersfield, California, we actually see a 10 percentage point improvement in the number of stores. So it's a little north of 40% cross utilization, which we think is a terrific number. So it's really supporting our thesis to increase penetration and provide wherever you are in the city, whichever city you're in, there's a convenient Mister Car Wash location for you to get your car clean. As we add stores, that value proposition just continues to strengthen and lifting all boats along with that. So it's a pretty cool phenomenon.
Jed Gold: Yes. And then, the second part of your question there, assuming about the retail sales and just peeling back that a little bit, as you -- those retail sales are an important part to the business, because it brings in customers who aren't subscription members yet and allows us an opportunity to trade them into the Unlimited Wash Club. We were up -- our retail sales were up 90% versus last year. If we look at it on a two-year stack, they were up plus 2%. But the retail sales growth of 90% compared to the Unlimited Wash Club membership growth -- sales growth of 95%, we're very happy with the growth that retail sales, in particular, exceeded our expectations.
Simeon Siegel: Great. Thanks a lot guys. Best of luck for the year ahead and congrats again.
Jed Gold: Thanks.
Operator: Our next question comes from Michael Lasser with UBS. Please go ahead.
Michael Lasser: Good afternoon. Thanks for taking my question. You had set your guidance a couple of months ago, when you last spoke. The assumption was that people will be going back to work through the end of the year, probably more likely after Labor Day and mobility would increase. Now it looks like, most people are not going to go back to the office until next year. How do you factor that into your outlook for the second half?
Jed Gold: Yes. So when you look at the first half compared to the second half, right, we can't have said enough that the great Q2 and the record quarter. It was -- the quarter was 18% higher from an adjusted EBITDA perspective than any other quarter in the history of Mister Car Wash. And that the guidance that we provided, the revised guidance we provided in early June, where we took adjusted EBITDA up to $246 million, it factored in some of the investments that we're going to be making, in particular to help offset wage compression, public company costs to help. So, what we expect is baked into this annual outlook that we provided here.
John Lai: Yes. Jed, I would just add, too. When we look at Q2 and as thrilled as we are about Q2, it was a little bit of an anomaly. I mean, there was so much pent-up demand. And with respect to the kind of unprecedented spike in car traffic, as Jed certainly had had positive impact for sure. But it created this perfect storm for being able to sign up even more members, given our really strong value prop. As I look at the back half of this year, we're still going to be growing our business, but to say that we're going to grow it at that same rate, is a pretty tall order. So, we expect to grow at this predictable steady pace, and we plan on doing it.
Michael Lasser: Got it. A quick follow-up question, on the new wash model that you've implemented about a year ago. Can you drive a similar amount of leverage on the cost of labor line? We're forward assuming that sales are going to be similar. And what has been the customer response to the new model?
John Lai: I'm sorry. Was the question regarding our interior clean services?
Michael Lasser: Yes. Jed cited the new wash model is being critical factor in driving a lot of the cost of labor leverage in the second quarter and presumably, it's less labor-intensive. And so, I was wondering, if that can drive a more amount of leverage moving forward on a same amount of sales.
Jed Gold: Got it. Got it. So Michael, on the -- as far as the sales leverage and the optimization of the labor model, that was an initiative that we started implementing during the pandemic. It's been phased in over a couple of months. We expect to continue to receive benefit from that from a labor hours worked perspective through Q1 of 2021. We do have built into Q2 -- Q3 and Q4 of investments around store level labor to help offset some of the wage compression that we're experiencing and help recognize our A players at the front line.
John Lai: Jed, I would add, too. Our productivity is at an all-time high on a per employee basis. We're a lot more efficient. I think coming out of COVID, there are some lessons learned. And so, the headlines are cars per labor hour is up over 70%. That's phenomenal. Labor dollar per car is down 30%. And so, when you have both of those trends going in the right direction, it clearly says that we, as a management team, have been able to manage through any labor increases through increased productivity, plus that's the name of the game.
Michael Lasser: Thank you, very much.
Operator: [Operator instructions] Our next question comes from Peter Keith with Piper Sandler. Please go ahead.
Robert Friedner: Hi good afternoon, guys. It's Robert Friedner on for Peter. Thanks for taking my questions. First, I wanted to ask about some of your Western US markets and issues with water shortages going on right now. When there's water restrictions, is that a good or bad dynamic for your business? And John, during your tenure with the company, has there ever been restrictions put in place, where you couldn't operate in a certain market?
John Lai: Yes. First of all, let me say that we take water conservation very seriously at Mister Car Wash. We've been out in front of this for years. And when you look at the average number of freshwater gallons that we use per car, we've made year-over-year improvements, and we recycled and repurposed roughly 15 gallons per car today. And so we see ourselves as really responsible stewards of the environment. For us, it's a really key part of what we stand for. With respect to the Western states, we have not seen any stoppages of businesses. Most municipalities know that in a drought situation, washing car to commercial car wash is actually better for the environment than it is washing your driveway and if there is -- if there were to be any temporary restrictions to be put on the home washer. The second part of your question in my tenure which is been up in 20 years, there's been one situation in Austin, Texas that had to do with a pump at Lake Travis and it had nothing to do with the drought. And with that pump going out, we were asked to reduce our fresh water consumption which we were able to do and continue to wash cars consistently. So, it didn't have an impact on our business at all.
Robert Friedner: I think that's great detail. One other just on the margin flow-through on sales upside. You've discussed it before. I think based on models -- based on numbers you gave us a couple of months ago, it looks like sales comp came in $4 million upside, EBITDA was around $3 million 70%, 75% EBITDA flow-through. Relative to your guidance for the full year, should we continue to expect a similar kind of margin flow-through on -- in the event of sales upside?
Jed Gold: Yes Peter [ph]. So, just given the low variable cost nature of our business these incremental flow sales. They do flow through at a healthy level. Always hesitant just a little bit to talk sales flow-through because they do flow through a little bit different than a traditional retail model due to the subscription element to the business. But going forward, it will likely be slightly less than the 70% as we invest in public company costs at the store level labor and then also some of the development resources and supporting team to help build out the development team. Our wash labor model is a process that's been rolled out and continue to be refined. And like I said, we'll continue to see benefit from that through Q1 of 2022. Although it will be to a lesser extent in the quarters to come. 
Robert Friedner: All right. Thanks guys.
Operator: Our next question comes from Simeon Gutman with Morgan Stanley. Please go ahead.
Michael Kessler: Hey guys. This is Michael Kessler on for Simeon. First, I wanted to ask a quick follow-up actually on the margin piece. When we look at the first half EBITDA margins in the call it mid to high 30s the implied in the back half is more in the kind of low-ish 30 range. I was wondering if you could maybe dissect the components of the lower margin going forward between a little bit of a detail on the topline reinvestment and staffing up at the store location level and reinvestment back in the organization. If you can maybe kind of size up if you can or kind of give us an overview of where those pieces are coming from? And then also how should we be thinking about that margin beyond 2021 in perhaps a more normalized backdrop?
Jed Gold: So, Michael that was a great summary of everything that we've done. That this has helped drive the margins there. So, I think one other thing that I would highlight is we did have during Q2 some of the store-level labor investments that we were going to make. And some of those were delayed just a little bit into Q3 and Q4. So, that helped from a margin perspective on Q2 just a little bit.
John Lai: Yes, Jed if I can also chime in here. So, I think it's important to note and this isn't a surprise to all of you on the line. We are in growth mode as a company. And as a growth company, we're investing in a big-time way in our people. And so specifically building out our G&A, building out our development team, so that we cannot just double down, but triple down on our capability and our capacity to put up more stores quite frankly. So, we're investing in our team. Again if our vision some day is to get to 1,000 stores, it takes an army. And we've got an incredibly talented team and we're going to be continuing to add to it.
Michael Kessler: Great. And a quick follow-up. Maybe this is more of a bigger picture question. I guess first can you talk a little bit about how the new greenfields that you're opening how they're continuing to ramp? And then kind of relatedly thinking about the whole industry longer term, I know you guys have said before, you see that there's a lot of capacity available for continued growth and for you guys to grow into an industry that's also growing. I was wondering, if you could just maybe expand on that and give us a sense of how you think about capacity and your ability to grow into it and also for the whole industry to support capacity in longer term as you guys add more and more greenfield locations? Thank you.
John Lai: Yes. Listen there's a ton of white space. There's a lot of pockets in the US and within the markets that we're actually in that are underserved right now. And again, this is emboldening us to as I mentioned before double down on this initiative and continue to expand our footprint. So in the markets that we're in, we're continuing to grow as we also ambitiously look to move into new attractive markets. But when I zoom out and look at just this massive 275 million cars in the US and how many conveyorized car washes there are to serve them, I can easily see in my crystal ball the industry the number of conveyors in the US doubling in size. And right now, there's a race quite to control and have a lion's share of each market. And we're not the only ones that are on our bikes peddling very quickly. 
Jed Gold: And then Michael the first part of your question around new build performance just a little bit more color there as I said in the prepared remarks. And when you look at the 13 that have crossed the 1-year mark, they're outperforming the proformas that were approved prior to us building those locations. And if we extrapolate that performance out, they're actually exceeding the balance of the express exterior portfolio driving that approximate 3-year payback for those particular locations that have a sale leaseback. We're very optimistic about the performance of our greenfields and plan to continue to make investments to drive growth here. 
Michael Kessler: Thank you.
Operator: This concludes our questions-and-answer session. I would like to turn the conference back over to John Lai for any closing remarks. 
John Lai: Yes. Well thank you all for joining us on today's call and we deeply appreciate your interest in Mister Car Wash. We look forward to updating you on our next -- on our progress for the next call. So thank you very much. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.